Janaina Storti : Good morning. I am Janaina Storti, Head of Investor Relations of Banco do Brasil. Thank you for joining us for another live streaming on the results of the first quarter. Our live streaming will be in Portuguese with simultaneous translation into English. You can choose three audio options, original, English or Portuguese. And to talk about the numbers of the first quarter, we have here with us today our CEO, Tarciana Medeiros; our CFO, Geovanne Tobias; and our CEO, Felipe Prince. Now, just to start off, I would like to turn the floor over to Tarciana to start with her initial remarks.
Tarciana Medeiros: Good morning, everyone. Thank you for joining us in another earnings release presentation. I just landed from an official mission to China, where I had a very intense institutional and business prospecting agenda. Right now, I'm talking from our New York office, where we will also be holding important meetings with clients and partners. Over the last two years, we have built up a very close relationship with the market. And I really wanted to be here with you today. This quarter, it's even more important that I provide you with a diagnosis of the bank's results and the strategic direction. And I'm going to address all of the issues that has impacted the beginning of the year and what we are doing to get through this month. Since the beginning of our administration, just over two years, we have delivered BRL73.5 billion in adjusted net income, we added value to our shareholders and added a further BRL171.5 billion. So the whole Brazilian society by means of the demonstration of the added value, which is an important sustainability concept that goes beyond product. The return was about 20% in every quarter during our administration, reflecting the disciplined execution of our corporate strategy, as I have always telling you. Throughout the first quarter of '25, we continue to deliver important milestones in-line with the direction we set, we are managing the $1 trillion business, growing the loan portfolio at an adequate pace. Despite a cautious scenario with our fee income dynamics moving in the right direction, especially boosted for the conglomerate business and without losing sight of expense control, which is a constant effort by the bank. I am very proud to see all the strategic fronts we presented to you in February moving forward. And of course, I can't fail to mention something. We worked very hard on over the last few months, which is a significant historic delivery this quarter. A point -- a new product, a product that changes the conditions and the way the Brazilian access credit. Crédito do Trabalhador was a major turning point. We connected our more than 20 years of expertise in payroll loans with the best in [serial] (ph) artificial intelligence and credit analysis, both for individuals and companies to confirm our leadership position. Until the launch of the solution, we had just over 20,000 agreements with companies to operate with payroll loans in our portfolio with BRL1.5 billion, which took us about a decade to achieve. And we achieved that in under two months. In the short period, disbursements exceeded BRL3 billion with employees from 68,000 companies and there is still portability to come. Whenever we refer to net income itself, we delivered BRL7.4 billion in the quarter, with a return of around 16.7% below what I believe is the Banco do Brasil's size and potential. We had already said that the first quarter would be a period of transition, especially because of new accounting regulations. What we saw was an increase in delinquency in the Agribusiness segment that was worse than expected, even with all the measures that we have adopted. This combined with the implementation of Resolution 4966, which changes the way you calculate expected losses and interest accruals had an even greater impact on this portfolio at the moment. The combination of these factors have led us to revise these two lines of the guidance and consequently, the profit learned as well. It wasn't an easy decision, but I believe it's the most prudent decision and one that reinforces the commitment to honesty and transparency with the market, something I've been honoring since the beginning of my tenure. With more visibility of the scenario, and the end of the '24, '25 crop plan cycle and the strategic measures we are pursuing, we will be able to bring you a new predictability of these projections for the coming periods. Now when I look at the results for the first quarter, I can certainly say that none of the events surprised us in terms of where they were heading. But rather in terms of the magnitude of the impact once they were combined. I met with some analysts less than a month ago, and we talked about the dynamics. We could anticipate given structure issues, performance by segment and the seasonality of the first quarter. I would like also to take this opportunity to discuss some important aspects of the current moment, and then I'll present the direction of our strategy, trusting our capacity to generate results. The first factor is related to the effect that the interest rate environment has on the balance. So especially with regard to the rise in the Selic rate, and intense and accelerated cycles, such as the one we saw between December and March of this year when Selic rate went up 3 consecutive time by 100 basis points. This immediately impacts around half of our commercial funding and institutional funding as well, both of which was our post-fixed and are immediately remunerated at the new rates. The increase in the reference rate in the same period, which practically doubled back the other half of commercial fundings with savings and judicial deposits. In addition, liquidity in the first quarter of the year is lower. And that's why it wasn't possible to offset the increase in funding expenses with the treasury results. We are therefore, working on new disbursements and the turnover of the loan portfolio. However, in the short term, the impact of the Selic grade is greater on funding expenses and -- this influences the net income interest. We have a strong balance sheet to cushion the variations over the quarter. So in the annual view, this tends to be smoothed out. The second factor is of a regulatory nature, and I'm referring to the entry into force of Resolution 4966 from the National Monetary Council. And I would like to comment on the changes of this resolution to Banco do Brasil's business. This transition has required a recalibration not only of risk model. but also our commercial flows and practices to context focus on expected loss for the flow of interest received. Here at BB, we continue to improve our practices in phase out the new resolution, which brings new information, internal intelligence, statistics and modeling to our business. In this first quarter, we decided to maintain a conservative analysis of risk and provisioning. And I've had interesting conversations about various points of our origination strategy and business conduct. The main impact of this change is in agribusiness, which has its own particularities and is very specific in terms of annual flow of receivables and guarantees and its planting, harvesting and marketing cycles. And certainly, this impacts the entire Agribusiness change. So by the same token, it impacts the proposal of individuals and companies with the 4966, the provision in flow tends to be brought forward compared to previous rules of resolution 2682. The interest accrual changes from an accrual basis to a cash basis for assets considered to be problematic, even if they are not in default during the cure period, here was BRL1 billion of credit income that no longer impacted the margin in the quarter and around BRL400 million in income from credit services, which are now also deferred in the margin. The third factor is the unfavorable timing of agro segment's credit quality as we go through this change in accounting rules. The timing of this transaction was negative for Banco do Brasil. And so far as agro-business accounts for more than BRL400 billion in the portfolio and is going through a cycle pressure on the fold about historical average. This has push the provision for the segment, which has already -- was already at high levels to more than BRL5 billion in just one quarter. Moreover, this context is aggravated by the incur reorganization of rural producers which we have been discussing with you for some quarters. The in-court reorganization assets are immediately considered problematic and as such, their expected loss dynamics are accelerating. I would like to point out that our efforts sit down and renegotiate have had an effect with a reduction in the pace of new supervised reorganization entries. In view of this, Banco do Brasil, which has a historical strategic presence in the sector is naturally affected in a different way when compared to other organizations because there is any reception of this portfolio with individuals and corporate clients. None of these factors alone would have dropped the results to the level we did. Given the bank's business diversification. However, the combined effect that the accelerated increase in solicited still trading credit quality of the segment, during the adoption of resolution 4966 impacted our results. Having the set of challenges we face in the short term is our portfolio in now to the drivers the basis of our commitment to creating sustainable value, looking beyond this quarter. I’ve been telling you that our relationship with more than 86 million clients is our competitive edge. The great duty of our relationship is to closeness and human connection we build. We are the only omnichannel bank in practice, I say this with the confidence of knowing our new interactions platform in [CRM 360] (ph) and seeing what it is capable of. It has recently been integrated with WhatsApp and our entire channel architecture in the way that is unprecedented in the market. This solution was developed by Banco do Brazil and has become a world-wide case, given its success, I have no doubt that it will be sold to other companies very soon. Since we commented the CRM to WANs, we’ve seen the average number of contact and interactions via text message grew 417% in March, that's valuable, powerful and promising. Each of these records to help us -- to get to know our clients more deeply, and by applying AI, we use the rich information for each contact to generate increasingly accurate insights, personalizing interactions, our offers and really delivering BB bank for each of our client currently more than 17,300 colleagues work with access to the CRM 360 points, we should expand that to our entire managed service structure by your end. The new platform drives the position of relationship and service models with the best combination of digital impairments as well as efficient allocation of our professional providing the best interaction with clients. On the ideal channel and at the most appropriate time we a scalable way and with a high potential for capturing results. We're also continuing to reframe the concept of the bank branch with Ponto BB of which was celebrated 1 year at the beginning of April. The new model integrates spaces, explore strategies beyond banking and proposes new service journeys in a more welcoming environment with the physical presence of market partners. This new model spreads the changes we are promoting in our structure making them a more consultative adviser and efficient offering the best of both physical and digital. We will not stop here. The process of optimizing the structure is constant. We are pioneers in technological solutions in our industry. In the first quarter alone, we invested 30% more in technology when compared to last year, in search of the best experience, convenience and level of security for clients. Over the last two years, these amounts have exceeded BRL18 billion. These investments have also allowed what was once our digital acceleration project to now become BB's new operating model, the new way of working, where the culture of innovation and continuous delivery with greater integration between teams and speed in delivering solutions is BB's newest reality. Of the more than 1,000 new professionals I had informed that would recruit in 2025 to work in the areas of technology and cybersecurity, we just [swore in] (ph) 359 this week. They are in addition to the more than 2000 that we have recruited in recent years. When I look at this great conglomerate that is Banco do Brasil, I see and feel all the commercial power of my team with business growing at the pace and in the direction we have planned. We have consistently evolved the solutions we make available to investors. This includes a special focus on the journey and experience of these clients. Our app dedicated to investments has reached its best mark in the App Store, while we continue to make progress in the active specialized advisory structure, which has onboarded more than 50,000 new clients to the new model and should total 150,000 by August. I see the Group's companies adding new solutions with growth and innovation. With the new dynamics of fee income, the Group's companies are playing an even more important role in shaping BB's results. We reached more than BRL1.7 trillion in funds under management by BB asset with that funding of BRL29 billion in just one quarter. In consortia, we reached an all-time record of BRL818 million in revenues with 120,000 quotas sold in 3 months. Our investment banks took part in 36 capital market operations, reaching deals of more than BRL121 billion, even in a seasonally weaker quarter. At Cielo, we made progress with new products and better customer relations based on the holistic view of the company. As a result, we increased BB's [primacy] (ph) in the cash flows of SMEs, increasing revenue captured from new business by 66% and the number of new accreditations by 25%, which strengthened our work to win companies cash well, improving our experience with solutions for prepayment of receivables and supporting businesses in their daily financial management. I've been telling you over and over that we would be leaders in all payroll loan verticals. Well, in Q1’25, we grew more than the market in all line items. With INSS retirees and pensioners, the portfolio has expanded by almost 40% in two years, and we're very close to reaching a historic mark of 10% market share in this quarter. In the corporate segment, I had declared in February My ambition to grow safely and with quality, using guaranteed funds, supporting SME clients to face the current scenario. Our Pronampe and Peac FGI portfolio for these clients reached BRL30 billion, gaining a lot of relevance. In wholesale, we increased the number of clients with credit operations by 46%. In June, we reached a balance of BRL261.5 billion in the large corporate segment. I'd also like to highlight the value chain, that mechanism where large companies influence a whole network of suppliers and small enterprises, which has improved our systemic view of credit and has minimised risks. We at the Brazilian Agribusiness Bank committed to boosting the foundation that sustains and fosters the country's growth and development. At the Agribusiness Trade Shows, we've already reached the mark of BRL5.5 billion in applications received, serving more than 20,000 clients from different regions of Brazil. And we're still moving forward. By year-end, we'll have covered 250,000 kilometers, more than 200 municipalities with the [Caritas BB] (ph), BB Trucks Big Innovation Credit Advisory on Settling Debt and opportunities for those who make agribusiness grow. While always being close to our clients, we have also expanded the use of data for collection, which is being done with preventive solutions. We have gained efficiency in our processes and 55% of defaults have already been resolved. I can guarantee that we will do everything possible to recover our assets. Here, I would like to draw your attention to this great annual cycle, which is working with agribusiness. While Brazilian farmers are harvesting and selling the ‘24-‘25 crop, we are already building a new ‘25-‘26 crop plan. This dynamic is a machine that has to run perfectly and generate results for all parties, growers, suppliers and financial institutions and more broadly the country. Agri-business does not stop and it will not stop. I just have to highlight our ESG businesses which continue to grow. For the sixth year, we have been recognized as the most sustainable bank on the planet and one that generates the most revenue from sustainable assets. This reinforces that it is possible to create value for the whole society and shareholders alike. We have short, medium and long-term commitments to sustainability and diversity, including a guidance to grow this portfolio, and we are confident that this is the way to go. We acknowledge that we are facing a moment of transition where macroeconomic, regulatory and business segment issues have impacted results at the start of the year. I never tire of repeating that we remain focused on our fundamental commitment to deliver results in-line with Banco do Brasil size. I am closely monitoring all work fronts in order to accelerate initiatives that maximize this result, whether on the side of revenue, efficiency or innovation. I would point out that we were able to recover capital and reach 11%, already covering the first installment of the provisioning we made under the new resolution. This shows that we have the strength to face short, medium and long-term cycles, even if the journey is not linear, we've faced other tough times before and we've always come out stronger, more resilient and more united. Lastly, I trust in my team's ability to do responsible business, to be close to our clients this year and in the coming years as well. It is the expanded vision of purpose that will mark Banco do Brasil's trajectory. Thank you. And I'm going to hand the floor back to Janaina to start the question and answer session.
A - Janaina Storti: Thank you, Tarciana. Now we'll initiate the Q&A session. [Operator Instructions] Our first question comes from Gustavo Schroden from Citi. Hello, Schroden.
Gustavo Schroden: Hello, good morning Janaina, good morning Tarciana, Geovanne and Prince. Thank you for taking my question. I think Tarciana mentioned many interesting things during her opening remarks. But if we exclude agribusiness, because I think this is something that we've been monitoring for some time. We've noticed a worsening in delinquency, KPIs in almost every single line, starting with corporate, individuals and even farmers, rural. I would just like to hear from you what has caused that worsening in the other lines as well. Maybe if you look at the rural aspect or the magnitude of the impact was bigger, but we already expected to see the delinquency in the rural segment, but we've seen worsening across the board. I would just like to understand from you, what do you think led to that worsening in other lines? And whether we could, of course I mean, your capacity to convey information to us in this transition moment. I know that it's probably limited, but I would like just to know what would be the level of provisions that we could expect for the next quarters. Whether would that be still at this high level that we notice in the first quarter. Thank you.
Tarciana Medeiros: Prince, I will turn the floor over to you to answer that question.
Felipe Prince: Schroden, good morning. And thank you for your question. I think we can split this question in a few folds. First, in terms of individuals, all of the portfolios, in all the portfolios we've been very diligent looking at the NII, but individuals here we see that there is a transition into the new models of 4966. And this is probably what explains this spike in delinquency. I mean, the new operations have to be stronger in our balance sheet until they go into write-off. This is something that we already expected, that was within the plan, because NPL of individuals was forecasted to be slightly higher. So this is within the way that we are operating in terms of sending it to write offs. Now, speaking about the corporate segment, here we see a worse performance coming from SMEs. One positive aspect is that we are already taking steps to improve not only origination but also the entire collection process for that portfolio. So we see an increase in NPL for SMEs and Tarci, as she was saying, we implemented [Technical Difficulty] of that portfolio more specifically. Now, moving to agribusiness, this is related to something that we've been talking to you about. Obviously, in all of these portfolios, you have an addition of what was brought into that portfolio. We are not using this quarter's sales from active portfolios, but this is a process that we are looking at it and the entire market uses that. So it's likely that we will be doing that from now on. So our individual's portfolio is very resilient and seasonally delinquency from individuals is usually higher in the first quarter due to all of the expenses that we all have in the beginning of the year. And I think this is good news because we haven't felt any delinquency pressure because of that. I mean, there was a slight increase and this pressure increase is related to a longer period of delinquency operations in our balance sheet. Now the corporate segment, as I said before, in agribusiness is a challenge. So despite the fact that we have a record crop season, there is still a difficulty to generate margin on the part of our clients and as a consequence people are late in their payments. Any questions? Oh, and you also refer to provisions. Yes. What can we expect? Well, naturally, and that's why we put the guidance under review. Our flow of maturities for agribusiness is more intense in March, April, and June because of the end of the crop season. And these are operations that unlike other portfolios, the payment occurs at the end of the period, at the end of the crop, because you fund production to help farmers to develop their activities and at the end of the crop season, they have to replenish the credit. We noticed therefore that there has been a delay in payments and this is observed in short-term NPL, but on the other hand, there is a new [SAFRA] (ph) plan or crop plan. And this new launch of the SAFRA plan attracts, is attracting these farmers to get that situation in order because if they are not, I mean, if their credit is not in order, they won't be able to get new credit for the next crop season. So we are in the field trying to get our clients to reorganize their debt. And this is mostly concentrated in different crops, soybean, corn, in the Midwest of the country. And due to this record crop season, we know that we will be successful in terms of reversing this delinquency scenario. But what we've seen is that it is taking a bit longer for us to collect payments. And then once this takes a bit longer, this calls for more production, and that's why we are constantly monitoring this entire process and we put the guidance and the review. To be more pragmatic, we should still see some pressure. Provision will be under pressure this quarter and this will be so until we go into the second quarter where things will be much better especially due to this new crop plan or SAFRA plan.
Janaina Storti: Thank you Schroden. I will now go to the second question. Renato Meloni from Autonomous. Renato, good morning. We can't hear you, Renato. Good morning, and now it's okay.
Renato Meloni: Good morning and thank you for taking my question. I would like to talk about capital and dividends. I mean, considering the uncertainties with agribusiness and also with Resolution 4966 which you know led you to review your guidance, how are you balancing the issue and growth, lack of funding and dividends? Would it make sense for us to think about 40% payout for this year? What is your expectation here?
Tarciana Medeiros: Well, thank you, Meloni, for your question. Well, certainly, we are maintaining our 40% payout. We will be certainly very attentive because once we see the performance of the delinquency, especially in agribusiness, and out of the BRL10 million expenses that we factored in as expected loss for the first quarter, almost BRL6 billion came from the rural portfolio. That same amount in the fourth quarter was of BRL3 billion. We managed to improve and post some growth, especially in terms of common equity. We had like 10.97 profit and we've been saying that the area that we want to populate in terms of CET or common equity is about 14 percent. So therefore we believe that we are in a good position to sustain the growth of that portfolio once we have delinquency under control. But at first, we are not, I mean, changing the, I mean, we are reviewing, we're not reviewing our payout. So despite all of the measures that we're putting in place. In the second quarter, we should maintain that 40% and we do not see any difficulty in growing our assets, especially because we are generating organic growth of our growth. I know that in terms of net income, the results were frustrated, but this has been one of the highest BRL7.5 billion it is the highest in the entire Brazilian market and this is what led to the growth of our common equity. Would you like to add something else, Prince?
Felipe Prince: Just adding to that answer, I think this is good news and we have to consider that, resilience of capital, the capital that we posted, despite this challenging scenario. I mean, this is mostly related to agribusiness NPL, but even then we were able to form organic capital. It's also important to highlight that our balance sheet is quite robust and also prepared. So what is left to do is like, you know, in view of our activity, we really have to put an effort to deliver improvements in this delinquency scenario. Natural, this will lead to better results, this will feed in capital, and by the same token, this will support our capacity to grow our activity and at the same time to remunerate our shareholders more adequately.
Renato Meloni: Thank you. If you allow me a follow-up question. If the agro scenario continues to deteriorate, what would be your priority to continue to grow with dividends? What would be the minimum level of capital that you think that you could achieve?
Felipe Prince: Well, we expect to see recovery. This will be a record crop season. It will be the highest ever. It's just a matter of making fine-tuning adjustments of all the variables because we were surprised by the implementation of this new 4966. I mean, delinquency in agribusiness is out of historical level. It's not part of historical level, so we're not working with that possibility. And we have several alternatives in place, and we believe that 11% will be the ideal for us. This will be an optimal structure. I'm referring to common equity. So in a way, as Tarciana said in her initial remarks, we knew that there will be impacts with the new regulation implementation. That's why we adjusted our payout that was at 45. Now we are working in the range of 40 to 45. Well, certainly, as we notice this aggravation, and that's why did we suggested a review because the April figures are still showing resilience of this delinquency instead of giving in. We already told you before that the first quarter would be still tough because it would be in a transaction phase, there will be aggravation of risk, and as of the second quarter we will then see stabilization, and after the second quarter we will see an improvement. We believe this scenario will stand. We are still a bit reluctant because the initial April figures are still showing some difficulty in part of the clients. I mean, 96% of my portfolio is being paid in time, but I'm referring to delinquency of around 3% and 3% approaching 4%. But we believe that the measures that we are putting in place of judicialization, you know, collection, ex cetera, will allow us together with, higher income generation, we will be able to put things under control and resume our growth path. And certainly in terms we will grow in more profitable lines like private payroll loans. This will amortize the impact in terms of funding costs and this will help us increase profitability. But for the time being, we would rather just observe the second quarter and from then on we will tell you what we anticipate for the second quarter of this year. Right? Thank you.
Janaina Storti: Well, I'll switch to English to –Tito Labarta from Goldman Sachs. Tito, you can make your question, please.
Tito Labarta: Okay. Thanks, Janaina. Good morning, everyone. Thank you for the call and taking my question. I guess my question is on the guidance. I understand it's under review and some of the uncertainty going on, but If you look, you are sort of on track for the provision guidance. Now, that's it. It could get worse, right, given some of the comments that you made, but more where you're tracking below was on the NII. But on the loan, you maintain your loan growth guidance, which I thought was a little bit interesting. So I guess the question is a little bit two-part. One, were you already factoring in some of the accounting changes and the impact that that would have on the guidance? Or did that surprise you in any way, the magnitude of the impact? And two, is it just from higher interest rates impacting your funding costs? Is that the other main risk that you're seeing? Sort of like, is there any risk to loan growth is sort of, I guess, the underlying question given the asset quality issues that you're facing right now, which could further impact what you are seeing. Just understand why the uncertainty on the NII from here going forward. Thank you.
Geovanne Tobias: Thank you, Tito, for the question. This is Geovanne. Well, the uncertainty has mainly due to the new provisions that were set with this regulation from the central bank. The impact in the NII was already expected and was already factored in. Okay, the magnitude in terms of provision charges and also the stop accrual of those loans. It's important to mention that we have BRL86 billion, BRL87 billion of problematic assets, stage 3 assets. 38% of the loans that are accounted as problematic assets, they are on course, on due course, okay? However, they are considered problematic assets and I am no longer allowed to recognize on accounting basis the interest from those loans and that's why our name was compressed due to this lack of credit revenues okay. So looking forward we do believe that why we decided to put on review. We got to understand how this flow will continue in terms of loans that are moving to stage 3, the ones that are coming back to stage 2 and 1, according to the new regulation once the loan is in stage 3. And I cannot – I can no longer recognize the interests that are bared on those loans. However, in order to move to stage 1 once the client starts paying back the loan, I have to hold it within a 4 to 6 month period. So this is something that we are still understanding and addressing how our loan will be performed. It's important to remind you that all the agri-loan book that especially the working capital ones that we grant they are bullets, okay so the interest are paid at the end of the term so. And in the meantime I used to account on a monthly basis the accrual of that interest. Now I will account only once the loan is effectively paid. So these new accounting rules is something that is bringing some pressure on our net interest margin, okay? And besides that, we used to write-off loans within 360 days with this new regulation. It's taking longer for us to write off those loans. And that's why you see the total volume of loans that are passed due over 90 days increasing. It doesn't mean that the overall loan book is deteriorating, okay? It's just a matter of these new accounting rules. But on the operational side, I think that the good news is that we have been growing our loan book in-line with our guidance. So as long as we keep up with this loan growth mainly focused on individuals' loans, payroll accounts for public servants and now for private sector employees, we will be able not only to balance the impact of the 300 bps increase in the benchmark rate throughout the year, it's important to remind you all that according to our assessment every 100 bps increase in the benchmark rate would represent a BRL100 million reduction, roughly, on a yearly basis in our NIM, with these 300 bps. It would imply a BRL300 million impact looking for the overall fiscal year. Because every semester, I roll over, I grant new loans around a ratio of 25%. So as long as I continue growing my loan, I will replace with new ones with higher rates, with higher margins, that will offset the impact of the increase in the benchmark rate. So the main focus will be curbing delinquency in the agribook, reducing provision charges, and at the same time growing loans. And that's why we kept our targets. And according to what we have seen so far, even in April, loan growth has been keeping up with the pace that we have estimated. So the impact was expected in terms of new regulation, but the magnitude, as our CEO mentioned, was bigger than the one that we were expecting, and that's why we decided to revise it and see what happens in the second quarter and compare the first with the second that will be comparable, okay? And then we will be able to bring you new numbers when we disclose the second quarter results.
Tito Labarta: Great, thanks, Geovanne. That's helpful. So it sounds like it was just that the magnitude of the change in accounting was greater than when you were anticipating. But the other operationally trends were more or less in-line, because you're not changing, you feel comfortable with the long-run guidance. So I guess maybe just a follow-up question would be, how come we didn't really see this from your peers? Is it maybe more related to the rural portfolio or was there something specific that you were impacted more than your peers?
Geovanne Tobias: Definitely is the rural. They don't have the size of rural loans that we have. So unless you consider that farmers in Brazil will stop financing their crops, there is no way of missing the growth guidance in our agribook. Okay? So that's why we have been so vocal saying that 96% of our customers in the agribook, they're paying their loans. But in the meantime, this 4% are bringing a burden in terms of provisions and also the lack of interest accrual on those loans due to this new regulation. If you look to the provision charges in the first quarter, the BRL10 billion, almost BRL6 billion was coming from the rural portfolio. And when you compared to the fourth quarter provision charges in the rural, you had BRL3 billion, so it doubled. So this is what is draining our or increasing our provision charges due to this new expected loss methodology. Okay.
Tito Labarta: Thank you. Thank you, Geovanne.
Janaina Storti: Thank you, Tito. Our next question comes from Bernardo Guttmann from XP. Hi, Bernardo.
Bernardo Guttmann: Good morning, thank you for taking my question. My question is about the behavior of NIM in the cycle of monetary tightening in per cycles could be benefited from a pre-tax rate, while now it seems to be suffering more than your peers with the rise in the Selic rate. What changed in your liability structure or in the balance sheet that could explain this behavior, which is more sensitive this time?
Geovanne Tobias: Thank you for the question. Well, there was no change in my asset and liability structure. We've always had the mismatch. About BRL380 billion of mismatch and I have a prefixed mismatch in my asset. When we look at market NII and when we compare Q1 2024, back then we had a positive effect above the normal. It was the effect of Patagonia Bank in Q1’24. And in Q1’25, we had greater volatility, and we had an opportunity to make an adjustment to try to protect these mismatches. So when we look at NII of Q4, there was a certain amount coming from some prefixed positions that I had with CDI. So actually, what is happening now? Well, okay, it was practically an overshooting of the Selic rate 1 quarter, 300 basis points. So, the 3 percentage points have increased. So, it takes time and that's why it is important that we continue to grow volumes, especially in individuals loans that bring us a greater spread in the risk adjusted portfolio so that we can offset this higher funding cost or cost of funding. But in reality, what happened was, on average, I reduced my cost of funding. I was able to improve my cost of funding, but at a higher Selic rate. So, this brings a short-term pressure, but in a full year, approachable being the right conditions to normalize this. And there's this estimated that prevails for every 100 basis points, it will be 100 million reduction in my NII, so 300 basis points, we are talking about 300 million reduction, even if I reprice my portfolio, because this is not immediate, it's 25% of the repriced portfolio every quarter. So, we believe that while we continue to grow, of course we should never lose sight of control NPL, but in terms of NII, we don't have exposure to currency, we are super hedged. And this is our position. It is effective. Both the Selic rate and the TR rate for savings account grew significantly. So the best way to face this will be by replacing the prefixed portfolio.
Janaina Storti: Thank you Geovanne. Now let's go to our next question from Mario Pierry with Bank of America. Hi Mario, good morning.
Mario Pierry: Geovanne, I would still like to focus on the delinquency in agribusiness. April is slightly worse and I don't think you're seeing any return to normality. Could you explain whether there is any specific region or crop that we should look at it closely so that we have a better idea? And I have another question also related to that. You show that there was an impact on capital of 27 basis points because of Resolution 4966 and you made provisions to adjust through 4966 through equity and I think the amount was BRL16 billion. Why is it that part of these provisions went through the income statement or whether those BRL16 billion should have been a higher number. But why do we see such a large number in the income statement, even with a high impact in your balance sheet?
Geovanne Tobias: Well, thank you for your question. Let me keep the question into two parts. I will start and then I'll turn the floor over to Prince in New York and Tarciana. It's important to bear in mind that when you look at the rural NPL, there is something very unique that did not come last year, which is import reorganization. And when the client goes to court asking for reorganization without even sitting with the bank to renegotiate, this operation immediately becomes a problematic asset, and this will call for further provisions, and I have to stop accruing that transaction. So it's a double effect, which is a detractor of my results. So in the one hand, I increase the provision of that transaction that was to be was too mature and I stopped accruing interest. So, the effect is on my NIM and my credit risk. So, this is something that has certainly led to the increase of that deterioration. Because sometimes it doesn't even make sense. Because in an all-time record crop season, we still see the delinquency in an industry. I mean, you could even say, well, but the margins fell because prices of commodities are down. But on average, because this is the main engine of the Brazilian trade balance, and there is a lot of wealth coming from agribusiness. So it would be just natural to have some one-off things, but when we look with magnified lenses, you see a lot of reorganizations in Mato Grosso do Sul, parts of Goias, and Mato Grosso States, which are soybean growers, is a soybean growing region. I don't know whether Tarciana would like to comment on that, but this is an area where we have to be present, to operate. We know of the existence of predatory litigation. A lot of lawyers selling the world to mid-sized farmers saying that there will be the solution to their problems. And this is not true because once these farmers resort to in-court reorganization, they are probably paralyzed because they will not have access to credit in the financial organizations. They will no longer have access to subsidized credit from the government. And so this is hurting the segment and also impacting our results. But our balance sheet structure is very robust and so we are capable of absorbing all of these impacts. Certainly we are frustrated because this impacts our profitability. We wish we could be showing 20% profitability but even then you know profitability close to 17% with net income of BRL7.5 billion. But again, we have to fight what the lawyers are saying in the agri business scenario. We don't see this spread across the board, but it's more focused on these regions that I mentioned. Now related to risk, maybe Prince and Tarci, if you want to also comment on the rural portfolio, please do so.
Tarciana Medeiros: Mario, Well, first of all, I think Geovanne said it all about the regional aspect. I mean, soybeans mostly in Goiás, Mato Grosso, Mato Grosso do Sul, mostly concentrated in mid and large size farmers. There is also part of this delinquency that comes from the reorganization in Rio Grande do Sul, the recovery in Rio Grande do Sul, because there was first drought and then one of the largest floods in history. And the delinquency there was even lower than expected, but certainly this also puts pressure in the index. However, the situation in that part of the country is being resolved, and now the focus is on these three states of the Midwest of the country. And then your question was whether would it be the case for us to make provisions once we started with IFRS 9 and Resolution 4966. The models of expected losses take into consideration the best scenario evaluation for that particular moment. The entire modeling was done certainly, of course, we took into account all of historical data of the agribusiness environment. We collect data since 1960. We have data in store and we use this data to model the risk in agribusiness but certainly looking at pricing scenarios, yields in the field production and future income in the field. And back in December when we did the modeling, the scenario was not so aggravated, as it is today, especially between March, April, and May. And why we are looking at it now, we are observing it now, because now we are approaching the end of the crop season. I mean, we have, I mean, harvesting and product, but financial expenses are not fitting into the total income of that grower. They are not making ants meat. And that's where the problem lies. So we are trying to anticipate the receivables. I mean, farmers know that Banco do Brasil, due to its footprint and its presence, is one of the few players that have the means of granting credit once they pay out their debts. So we are willing to fund the next crop season. Delinquency might be high, but if you compare it to other players that operate in the broader segment, I mean, delinquency is probably the same or higher when compared to this activity. So we are doing all we can to be able to collect and certainly fund the next crop season. 80% of this NPL comes from farmers that have never been delinquent in the past. So, as you can tell, I mean, this is a one-off situation and we are paying very close attention to that. But we know that looking at the future scenario, we can certainly reverse that scenario. And as things begin to shape up, and this is the advantage of the new models because with all of the technology on board, we can model things in a week and in 10-days that has to be ready to be used by our negotiators. And this is what we're doing. The fact is that we had a scenario at the start off of our balance sheet, and expected losses stemming from this scenario were incorporated into that BRL16 billion of the transition. But from then on, as Geovanne said himself, especially in agribusiness, there was a higher worsening of the scenario when compared to our initial model. So until we get a reaction and keep our balance sheet strong enough to face the problem head on, we will just adjust the model. Of course, in a more deteriorated scenario, you'll have to increase provisions. And that's what led to our provisions in the first quarter and also something that we see for the second quarter. And that's why we were very honest with all of you and we are back to our desk, just so that we can give you a provisions guidance, as soon as we have a better evaluation of this scenario. But Prince also to reinstate that point, I think it's important that we revisit some points. First of all, the bank has been working diligently to fight predatory advocacy. And it's also important that we interrupt some reorganization processes or proceedings. The second aspect is that we are proceeding with a complete review of the network. We have experts constantly talking to farmers and experts. And the second aspect is that with the use of AI and Analytics, we are trying to understand the entire financial flow of the client. When Felipe said that in some instances we are asking farmers who they are going to pay first. We are also monitoring where the credit from the sale of the production will come in first. Therefore, the bank is well prepared to seek these credits from growers to renegotiate the debt whenever necessary. And the fact is that at first we see this worsening in delinquency levels, but unlike other segments and the behavior from other clients, the agribusiness segment, I mean, people plant, they harvest, they sell, and then they plant again. We are now harvesting and selling. That's the period now, harvesting and selling. Therefore, we have to understand what will happen in the second quarter and how things will evolve so that after that, we will be able to have more clarity. And this clarity will be translated into numbers for what will happen after the second quarter, but it will be only at the end of this ‘24-‘25 prop season that we will be able to have a more clear picture. This is a one-off situation. We've never seen things performing this way in the agri segment, but at the end of the cycle, we will be better equipped to see what will happen in the next cycle. But the fact is that growers will have to plant again and they will have to seek for funding with the bank or they will try to renegotiate that to be able to plant again. It's important that we reinforce these points. Thank you.
Janaina Storti: Thank you, Mario. Our next question is from Henrique Navarro with Santander Bank. Navarro, go ahead.
Henrique Navarro: Good morning, everyone. Tarciana, Geovanne, and thank you for taking my question. Well, congratulations on the video you posted. It was very good, very technical. You tackled all of the important points we wanted to discuss, and this really helped us to do our work last night. My question is on guidance. I understand that you published the first quarter, which is a transition quarter, and that talks about large part of the adjustments of 4966. According to the message, we verify a resilience or the maintenance of delinquency in April. So this leads us to believe that the second quarter might not be as negative as the first quarter, but it's not yet a quarter where Banco do Brasil will resume its profitability level or the bottom-line. If I take everything I just said and I translate that into figures, it is almost impossible to reach the bottom of the previous guidance. And then my question is, okay once the scenario that I just described is materialized, so let's say that in the second quarter that scenario is materialized. And so instead of under review, your guidance will have probably a lower range. But with the question you have today in terms of maintaining that 40% payout and in a future moment when you indeed will have to publish a guidance with a lower range. Don't you think that 40% will be at risk and maybe we should be talking about 35% or something like that?
Geovanne Tobias: Navarro, thank you for your question. You are already doing all the math for us. I mean, certainly our CEO said that, I mean, we talked a lot about whether we should put the guidance in the review because if you look at the code figures and if you do just a basic math in terms of provision, 10 million you multiply it by 4, then you have 40 billion. That was within the range that we had signaled before. I mean, we knew that margins would be under pressure in the short run in the first quarter due to increase in interest rates. But we didn't anticipate that stop accrual to be so high. I left on the side BRL1 billion and that would be incorporated in the margin because throughout the year the margin would be adjusted with my portfolio but even if you do the math you will be close to that so I will be very close to [BRL37 billion] (ph). Now if I analyze things very pragmatically maybe you could even say well maybe eventually they would have to review things going forward. I mean, we do not give payout guidance, but this is a decision by the board. Well, second of all, we are putting in place a lot of short, mid and long-term measures. And this will allow us to reinstate or to go back to our cruise mode. So right now we would like to stick to our compensation to shareholders. We are delivering profits. We are not saying that Banco do Brasil is generating losses. No, we had profitability of 17%. And we also saw improvements in our CET1. And this is the focus whenever we talk about reestablishing our payout. So at the moment, what we see would not motivate us to adjust the payout or maybe reduce it to 35%. We will maintain, we will stick to the low band, but we will work hard to recover these credits and normalize the results from Banco do Brasil with growth because we are growing in all of our business lines. And then the question is, if I am performing so well, how come this is not being reflected in the numbers? But we are taking a very deep dive into that and finding ways to see that reflected in the numbers. So at first, Navarro, I think you can still work with that 40%. And we are careful enough because I can't just call for additional funding in the market whenever I want. So I have to reinforce my common equity and generate profits. We do not work with the possibility of Banco do Brasil not being profitable. Right?
Janaina Storti: Great, Navarro. Thank you. Next question from Yuri Fernandes, JP Morgan.
Yuri Fernandes: Good morning everyone. Thank you, Janaina. Thank you for the opportunity to ask a question. Following Renato Meloni and Navarro's question, I'd like to understand what would be a sustainable ROE level for you. 17% ROE this quarter. Income, while taxes were low, there's a lot of IOC explaining this and other things, so I'd like to know whether 5% of effective tax rate is sustainable. And the provisioning level was high against the new NPL formation. We can discuss Resolution 4966. New NPL formation is more difficult, but it was the level of provision was lower based on new NPL formation. And also, the economic condition throws your ROE more to 15%. Then we have the NII, profitability, revenue, points improving. But when they put everything into the equation, I find it hard to estimate your ROE, 17% or closer to 15%, 16%. And that goes back to Navarro's question, how to maintain 40% dividend payout? If there is increased tax and more provisioning for formation, it is hard to keep the portfolio and the ROE. So what are the moving parts here? Perhaps the NII will improve, but I find it hard to see the sustainability in payout, given that ROE of 17% was helped by some other factors. Thank you very much.
Geovanne Tobias: Thank you, Yuri. Yes. Undoubtedly, I am not in a position to help you with the moving parts because we have a transition trial balance, and it is not comparable to the previous one. No bank adjusted their historical series. So it's hard to show you what the trend will be. Even in a process of low loss, the banks are working with 360. We are working with more than 500 days to write off laws. So that increases the 90-plus NPL. So it is very early to try to figure out what it will be. We believe in our capacity of generating results. It's the size of Banco do Brasil. I don't think that Banco do Brasil will have an ROE below its cost of capital. It does not exist. And our growth outlook is to grow in the most profitable lines, private payroll loans. We started that with more than 30% market share. We are at 20 odd percent. We have BRL3 billion from March 21st to-date. So, we can bring in a lot of NII and risk adjusted margin to help adjust this. And what is impacting our losses today is the provision for expected loans, particularly for the rural portfolios, so I stress it. I provisioned BRL3 billion for Q4, and for this we're at [BRL5.9 billion] (ph), and this is unacceptable. We cannot accept this for an industry that is delivering the highest drought season ever. So, I cannot explain that. If we get a snapshot of the situation and try to manipulate everything, well, it's hard, and I'll be candid with you, Yuri, if at any time we perceive that our level of common equity is at risk to sustain growth, we will be the first ones to propose to reduce it. But before I reduce, I have other alternatives to try to boost my capital, not including capital markets, so that I can strengthen my base, because to us it is also important to ensure adequate remuneration to our shareholders. Adequate remuneration to our shareholders. So, we aim at the high-teens and as Navarro mentioned, the cruise flight will be an ROE of 20%. We're going through a moment now, and in this moment of settling, we will have an ROE of around 17%, 18%, while we don't get the provisioning part right. But we don't see Banco do Brasil giving its business structure going back to an ROE of 12%, 13%, which is what we had in the past. Banco do Brasil today is totally different than Banco do Brasil in the past. I don't know whether Tarciana or Prince would like to add anything.
Tarciana Medeiros: Well, I can add, Yuri, I think that if you think that we are with the highest delinquency in history of the agribusiness in a portfolio that accounts for one-third of our total portfolio, and still we are delivering an ROE of 17%. So, I think that if you calibrate the fundamentals a little, observing that there is a huge opportunity with individuals that we have started to tap into related to private payroll loans, it is a risk-adjusted operation, which is fantastic that we did not operate with. And if we consider the whole process of stabilizing performance for companies, legal entities, And if we have a normalization in the agribusiness, we are able to bring the cost of risk to 7, not considering the beneficial effects on our operations if we have a higher level of operations and more regularly. So I think you can realize that if we are successful in the execution, considering normalization of the taxes, we can easily go back to a level of 20% or so, as Geovanne mentioned. This is structural. And Prince, let us remind them, we are at the highest Selic rate in Brazil, at the peak. Our economists, well, the market is still divided, but our economist believes that 14.75 is the peak, and it will stop here, it will be maintained for a while and then start dropping again and this will also be positive for the banks and AI. So, I think that calculating these moving parts at this point, you know, it will end up taking you to the end of the tail in this case.
Janaina Storti: Thank you, Yuri. Next question. Daniel Vaz with Safra.
Daniel Vaz: Nice question. Good morning, Janaina, CEO, Tarciana, Geovanne, I'd like to go back to agribusiness payment flows in Q2. We heard that April did not show a significant improvement in that farmers are changing their behavior. We have in-court reorganizations, and this is affecting provisioning, and they're having access to funding through bartering and co-ops. So I get the impression that these farmers that were hurt in the crop seasons in the past can have part of their cash compromised either because they go to incorporate reorganization due to predatory practices of lawyers, or because they have committed to bordering. And according to Prince, the bank is moving to try to bring forward payments and renegotiate. Putting it all together, I'd like to understand from you, don't you think that this recovery of profitability in the agribusiness will take a little longer? Because we tend to focus too much on Q2, but perhaps with this more compromised cash generation or “loss of seniority in payment”, I guess that this recovery could take a little longer. This is a fair statement. What do you think? Thank you.
Tarciana Medeiros: Can you answer that?
Felipe Prince: Well, your question is actually very good. It is exactly what is bringing some uncertainty to define our scenario. The fact is, strategically, tactically, and operationally, how are we positioned? We are positioned exactly to have this seniority in the flow of receivables. The commodity is there. It will be translated into resources. And the challenge is to channel these resources as a priority – prioritize for our bank. We have the capacity to manage this risk with more solidity than other players that you mentioned, and that players that are at this point competing with us. But why do we have this capacity? Because there is the new crop plan coming up soon. And Banco do Brasil naturally is the provider of funds that can manage this risk to renew the crop season and to renew the cohort more easily. Of course, we're not counting on just that. As Tarciana and Geovanne mentioned, we have some negative cases. So what did we change in our structure? Well, we are more aggressive in the process of collection. A very short default already triggers an action from us. And when we start collecting from them, they cannot take any other local ones because they are no longer in the white list. When we put them in the short-term black list, we start putting pressure on these suppliers, we start bothering those suppliers who are at the city, also working at the city where the farmer lives. And the execution process, 90% of these deaths have collateral. So the moment that we identify a behavior which is more prolonged in terms of the fault, of course we act, of course we precede all that with an exhaustive negotiation process with the clients. But when we get the feeling and the trigger that there is no more negotiation, we created a much more agile and a much faster process to recover these resources via extra court measures or even court measures. Having said that, we will remain having a risk tail, but this is concentrated mainly on farmers who leased the land and who made investments in expanding their farms in recent quarters, right? Because they leased the land at a strict price. The production volume to pay the lease increased a lot because there was a reduction in commodity prices. So there is -- this part of the portfolio that we are already addressing differently. It's about bringing you the best projections for you, because there will still be a tail and the landing will not be a hard landing. We will be gradually lowering delinquency and we expect to deliver a complete process by the end of the year.
Daniel Vaz: Okay, can you hear me now? Well, thank you for the answer. And if I may ask a second question to Geovanne. Well, the videocast was excellent, I agree with Navarro. And in the video cast, you spoke about the funding being affected by the Selic rate variation. I think it was 300 basis points and the average Selic was a little lower. And then there is a carryover, in fact, for Q2 variation of the average of Selic being 180, 140 sequentially. So what was the most important factor to reduce your NII? Was it the average Selic rate or the lower liquidity you saw in Q1, because I want to try and understand the effects here.
Geovanne Tobias: In NII, you have to look from the standpoint of cost of funding. Indeed, expenses increased as a result of this overshooting that I mentioned. But at the same time, I was able to proportional to Selic, it reduced my cost of funding. And then we had two last business days in the quarter and with lower liquidity, I had approximately BRL100 billion less liquidity in Q1, and this is seasonal. It is normal. In Q1, everyone is traveling, everyone is spending money, paying taxes, buying school material. It is very normal after the holiday season to have a liquidity reduction. So in Q2, we are going to have a higher liquidity cushion, it will be remunerated. So this helps. And in terms of the NIM, This is the magnitude that impressed us, was the lack of accrual, the lack of accrual of operations that used to accrue and no longer accrue, because now I have to do it in a cash basis. I have cases of clients that I would accrue BRL30 million a month, and they would pay 1 million, for example, but the debt was there and had been negotiated and was being paid. And this stopped. I can only recognize BRL1 million, just to give you an idea of what happened. And I have these portfolios, large portfolios being restructured. So all of that ended up impacting, not to mention. And this is not in NIM, it's in the result, I had BRL400 million in credit or operations, fee income by the operation, and that stopped. That migrated to NIM. I couldn't migrate BRL400 million because now I have to do amortization along the operation. The BRL400 million became BRL40 million. So you know, in Q2, we believe that NIM will be more stabilized, although there was also a Selic rise, which I will be in an environment of better liquidity. And I will have a better comparability quarter-on-quarter, and I think that will trend to see a certain stability. If we get our treasury result, for example, there was 11 down to 7. I had all of the securities results and I have to go to the credit operation. So if we adjust down, we're going to have the NIM effect coming from credit operation revenues and not from treasury. Okay?
Daniel Vaz: Well, thank you very much.
Janaina Storti: Next question from Eduardo Nishio with Genial. Good morning, Nishio.
Eduardo Nishio: Good morning. Can you hear me? Yes. Thank you for taking my question. I just have a follow-up on Daniel's question concerning payment flow and maybe we could talk about the size of the portfolio that is in court reorganization. I just want to try to understand what is happening with those at stage 3. This issue with soybean in the Midwest is a new problem. We've been talking about it since 2023, started with price, prices were dropping, people were storing a lot of products, and there were several moments when you renegotiated debt with those farmers. I mean, that's my belief. I'm trying to understand whether it is the same client that is now resorting to reorganization and how come you had so many interactions with them because those loans are short and whether the client situation hasn't been resolved yet. What is the magnitude of that reorganization portfolio and what is the possibility of that spilling over to other clients and the number of reorganization, the number of that is increasing. And on stage 3, how many of these clients are paying-off their debts or maybe waiting to receive [payment] (ph) and we don't know whether they're going to pay or not. And how many of them could be paying now and then you know go back to a healthy credit situation because I believe that they are now you know part of re-nog as part of this entire process.
Tarciana Medeiros: Prince over to you.
Felipe Prince: Good morning. It's a pleasure to see you again. That's a very good question. First, they are not the same farmers. Those farmers are here with us, you know, once they renegotiated the debt. But part of the debt floating to our balance sheet, I mean, there is an increase in write-offs coming from agribusiness. And this is not necessarily bad news because the possibility to write off in the agribusiness is much higher when compared to the others in our portfolio. That's why we assign a very specialized team to leverage that recovery coming from agribusiness. And as I said before, when I was talking to Daniel, we have a large volume of delinquency concentrated in new defaults. These are farmers that accumulated the problems you referred to and that just now are delinquent. In the past, they didn't resort to any additional measure, like those that we often offer to them. So we are focusing now on these farmers and we are trying to solve their problems now with the new crop season. I mean prices you know still perform like you said, but you have increasing production and yield. So even though the margins are not enough to cover all of their commitments, they will have enough margin to continue paying for their operations and then by the same token you reduce the risk of the activity as a whole. What we are trying to do is just to be at the top of the list of those who will receive payments. Now, referring to stage 3, we have approximately 80% of people that are performing on stage 3. We are not referring to gray spirits or we are talking about farmers that are at the most pain, all of the financial expenses. And this is all included in the same basket. But the challenge is the same. We have to convert harvest into funding, and this money goes to pay their obligations with the bank. What is in our favor is this new Safra plan and also combined with the fact that we are very familiar with the track record of these growers, we will be able to fund the next crop season and then the issue will be more stabilized and the portfolio will be able to perform around 1.5% of delinquency. And then you just do the math and you know that we will continue to make more money. I think there I would add another point, a relevant point. We are talking about a very specific crop in a very specific region. We are talking about soybeans in the Midwest in a very specific region. And there is something we should also bear in mind, because when we talk about the possibility of farmers regularizing their financial position, I mean, today, farmers that grow soybean, they grow corn. Soybean is harvested between January to -- January and May. That's why we saw a more resistant delinquency, especially in the first quarter and also going forward into April, we know that these farmers are not using their soybean harvest to plant corn, but they are planting corn and they will sell it soon. And we hope that in the second quarter those proceeds from the sale of the corn crop will come back to the bank and then we can provide new funding in our Safra plant. There was a significant evolution when it comes to the use of the land by farmers. And they do not plant just a single crop. We are working with soybean, but there is a rotation soybean corn, and we are expecting a record corn harvest. We have to wait another 90 days, because that's when farmers will receive some new proceeds from the second crop, but this hasn't yet materialized. We haven't seen that yet. So it's only from April onwards that we'll be able to have a better understanding of the process stemming from this second crop. Just to give you an idea, when last year we started talking about reorganization, it was a gradual me, it was [50 then 100] (ph) today, March position, I mean, mid and large size clients, there are more than 600 clients in a portfolio involving more than BRL4 billion, so this would be probably the size of that. And it makes it difficult because you immediately post that as problematic asset, you stop accruing interest and the average of provisions for this problematic portfolio is about 67%. And then you have to, you know, put some reinforcements in that and a lot of it.
Janaina Storti: Thank you Nishio. Our next question comes from Eduardo Rosman with BTG. Good morning, Rosman.
Eduardo Rosman: Good morning, Geovanne and everyone else. Thank you for taking my question. Still, speaking about agribusiness, I'm just trying to get a better understanding of resolution 4966. I mean, agro is more relevant in Brazil when compared to other countries and I think it's also even more relevant to Banco do Brasil when compared to other banks. I'm just trying to understand whether you are having some sort of conversations with the regulating agency just to buy some time, because there was an economic worsening. There was an increase in NPL, but there was also a very drastic change in the way you have to deal with the operation. There are some negotiations that are normal in the sector and probably the regulation, the way it was envisioned and drawn up, it didn't take into account that special aspect of Brazil. I mean, I'm talking about this time difference in Brazil. Things are different in Brazil. There was a new rule to leave the DTA and keep it in common equity. I'm just thinking whether there was any kind of conversation with the regulating body so that the transition will be smooth.
Janaina Storti: Tarci, would you like to comment on that?
Tarciana Medeiros: Yes, we have engaged in some conversations. It's important to highlight that this conversation door with the regulators is always open. But what needed to happen is that we had many questions about how in practical terms we would be able to see the performance of the agri-portfolio and how would this combine with the risk models of the bank. So now we are sure when we look at the behavior of the agribusiness portfolio. This portfolio has a very specific behavior and this is also very specific when it comes to Banco do Brasil. This impact forecast was not a surprise to us. What surprised us was the worsening of the agri-portfolio, which was even more aggravated in view of the situation that we had anticipated. Now we are starting conversations with the regulators, taking some suggestions, so that they could have a different regime applied to the agri-portfolio. These are transactions that have a different payment and receivables flow. These operations bring about challenges to us when it comes to the cure period. I have a negotiation and then I have to understand at what stage that transaction is during the cure period, but the cure period will only be materialized when I start getting revenues from my collections, from my receivables. So there are some specificities that are very peculiar to the agribusiness portfolio and that's what we're beginning to talk to with regulators. But you're very right and we have to work with that. And this is one of the reasons why our guidance is now under review, because again, everything depends on a possible adjustment in terms of this view of the agribusiness portfolio considering the different stages and profile of the operation in every single state. So, it's a pleasure to see you, Rosman, taking a deep dive into the subject. What has the central bank done? The implementation in Brazil had a few one-off situations, and one of these one-offs was the setting up of [minimum floors] (ph). I mean, we are still looking at our modeling and we believe that our management is quite interesting in terms of our loan provisions. The models have been very assertive, especially in view of the current scenario and the scenario that we anticipate. The issue is that -- when the model dialogues with the minimum levels set up by the central bank, you see that there are some provision steps, and that's why expenses are more sudden rather than being staged as we had before. Sometimes we say that the minimum levels lead provisions to go up taking the elevator and the cure process leads provisions to come down using the steps and the stairs. So this is something that we've been discussing with regulators, and as Tarci was saying, they are very open to suggestions, even because, you know, at the end of the day, this could also lead to restrictions to the farming activity, and nobody is interested in seeing that happen, and we don't want to penalize the farming sector. So conversations are in the way. But again, the technique how understanding should prevail over issues that are punitive. They might make sense when you do not have a modeling process that is accrued and developed. Once our modeling process is very accurate, we should then move towards the regulation that is used all over the world, where expected losses are set according to your best evaluation of the assets rather than complying with minimal levels, if that was the criteria of the 2682 that led to that 4966. But we do have some technical arguments, and we are now dialoguing with the regulators. And that is why, Prince, I mean, that was a very difficult decision for us to put the guidance under review. But once we look at the conservative aspect of our risk modeling combined with profiles set for 4966, set by 4966, Now we arrived at a much more conservative model. That's why we decided to maintain it and then discuss it with the regulator rather than not being transparent right now. Thank you.
Janaina Storti: Thank you, Rosman. Well, we are hitting our time hard stop. I still have 3 analysts in [Q2 questions] (ph). We'll get in touch with you, myself, and the whole team, Carlos, Natalia, [Budebio-Morrigan] (ph), and Marcelo Mizrahi from Bradesco. Unfortunately, we cannot stay longer in the call. I'd like to thank you all for participating in this live call to discuss our earnings. We'll schedule meetings with the three of you, and I'll see you all again in the next quarter. Thank you very much, and I'll see you next time.
Tarciana Medeiros: See you all next time. Thank you very much.